Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Epsilon Third Quarter 2022 Conference Call. During today's call, all parties will be in a listen-only mode. Following the company's prepared remarks, the call will be open for questions-and-answers. [Operator Instructions] This conference is being recorded, and a replay will be made available on the company's website following the call. I would now like to turn the conference over to Andrew Williamson Epsilon's, Chief Financial Officer.
Andrew Williamson: Thank you operator and on behalf of the management team, I'd like to welcome all of you to today's conference call to review Epsilon's third quarter 2022 financial and operating results. Before we begin, I'd like to remind you that our comments may include forward-looking statements. It should be noted that a variety of factors could cause Epsilon's actual results to differ materially from the anticipated results or expectations expressed in these forward-looking statements. Today's call, they also contain certain non-GAAP financial measures. Please refer to the earnings released that we issued yesterday for disclosures on forward-looking statements and reconciliations of non-GAAP measures. With that, I'd like to turn the call over to Jason Stabell, our Chief Executive Officer.
Jason Stabell: Thank you, Andrew. Good day to everyone. And thank you for joining us for our third quarter 2022 conference call. Joining me today are Andrew Williamson, our CFO and Henry Clanton, our COO. We will be available to answer questions later in the call. I am pleased to report that we delivered record financial results in the third quarter of 2022 and expect a strong finish to the year. In short, the company is in a good position as we enter 2023. Here, are some key highlights from the third quarter. We maintain net revenue interest production quarter-on-quarter at 27.6 MMcfe/d. We generated net income of $9.6 million or $0.41 per diluted share and adjusted EBITDA grew 6% quarter-over-quarter to $16.5 million. We continued to produce meaningful free cash flow with $11.2 million in the quarter. Both adjusted EBITDA and free cash flow have grown considerably in 2022. Year-to-date, we have totaled $41.5 million and adjusted EBITDA up 173% from the same period last year, and $26 million in free cash flow up 189% over the same period last year. We increased cash at quarter end to $40.8 million, up 32% from the prior quarter, representing almost $1.80 per share. We have a debt free balance sheet with a growing cash position, which has allowed us to return $3.1 million to shareholders in the third quarter and $10.7 million year-to-date through quarterly dividends and share repurchases. We have maintained a positive momentum in no small part due to the ability of our technical and finance teams to execute at a high level. They have welcomed Andrew and me to the team and we thank them for all their efforts. As a reminder, we are largely unhedged and have been able to fully capitalize on the higher commodity pricing we have seen throughout 2022. In the third quarter, our average realized price was $7.54/Mcfe. Our third quarter production of 27.6 MMcfe/d was up slightly from the prior quarter. The combination of sustained production and continued strong pricing contributed to our outstanding results. Through the first nine months of the year, we have generated more adjusted EBITDA $41.5 million than the full years of 2020 and 2021 combined, which was $39.8 million. During the same period, our free cash flow of $26 million was almost three times greater than the free cash flow generated in the first nine months of 2021. We are clearly in a much stronger financial position today and we remain focused on delivering solid results. Moving on to our assets, in mid-August the Koromlan 107HC well came online. The well has produced above our pre-drill estimates with cumulative gross production of over 3.9 Bcf in less than three months. We have an approximate 16% net revenue interest in the well. The Koromlan is a long lateral nearly 14,000 feet, completed in the lower Marcellus and demonstrates the potential of our Auburn area drilling inventory. In the third quarter, we incurred $1.6 million in capital expenditures. We are not forecasting any material capital expenditures in the fourth quarter. While we do not operate, we will continue to try to work with the operator to drill the highly economic inventory in our portfolio. In addition to our upstream assets, we also have an interest in the Auburn Gas Gathering System. This important strategic asset provides us with a steady stream of revenue and cash flow that underpins our dividend to shareholders. In the third quarter, the Auburn Gas Gathering System delivered 16 Bcf gross of natural gas. This was down slightly compared to the prior quarter, but the mix between primary and cross flow volume shifted, which resulted in marginally higher revenue for the quarter, despite the lower overall throughput. Supported by our strong balance sheet, we're evaluating potential opportunities outside of our existing asset base. As of September 30, 2022, we had available liquidity of approximately $55 million comprise of $41 million in cash and $14 million of undrawn borrowing availability under our revolving credit facility that has a total commitment of up to $100 million. As we look ahead to 2023, we are positioned for continued success in a variety of commodity price environments, and expect to continue to generate free cash flows from our existing assets. Our cash and liquidity position provide meaningful flexibility to pursue attractive acquisitions in our current area of focus in Appalachia. Our deep knowledge and long history in the basin, coupled with our strong balance sheet distinguish us from many small to mid-sized companies. We are poised to execute on attractive opportunities. And we believe that our ability to quickly evaluate and execute within our focus area is a key pillar to our future success. We are excited about the future and remain focused on creating value for our shareholders. These efforts include continued shareholder returns through dividends, pursuing organic and inorganic opportunities, and better highlighting the attractive value proposition of our shares to the investment community. Operator, we can now open the line for questions.
Operator: [Operator Instructions] The first question is from [Tom McIntyre with MFS]. Please go ahead.
Unidentified Participant: Yes, good morning. Thanks for having the call. I think that's a nice sign to investors with the new management team, so I appreciate it. Simple question, the press release made reference to disclosing or talking about material, subsequent matters. But I don't really see any of those things in the press release are really mentioned this morning. So what were you getting at when you put that kind of language into the press release? I thought it might be the capital allocation goals or plans or something, but I didn't really see anything there?
Jason Stabell: Tom, thank you. This is Jason Stabell. Thanks for taking the time to join for the call. That was just the normal disclosure language we don't have any material subsequent news to report so.
Unidentified Participant: Yes, no that was my impression to.
Jason Stabell: Sorry for that.
Unidentified Participant: I read three times. I said I must be missing well, usually people don't say they're reporting on something and then don't say anything about it, but anyway. So with that aside, do you have anything to say about because with the cash building and seems like it's going to build some more in the fourth quarter or at least as much as the built in the third quarter maybe not? I don't know, there was nothing mentioned either about replenishing the buyback or anything being done with the dividend and what are your thoughts on that as that becomes your debt free? So you're not a bank so - what are your thoughts on that?
Jason Stabell: Well, thanks for the question. We will continue each quarter to evaluate the dividend we put in place a dividend that we think is sustainable. So I wouldn't suspect big changes there. In terms of buybacks, we still have authority on our existing buyback program of several 100,000 shares. My personal view on that is we will use the buyback opportunistically, I think it's a lever for us in some ways. It can work against what we're trying to accomplish, which is increased liquidity of our stock. However, as you've seen in the second and third quarters, we are willing to step in and make purchases of our stock at attractive points. And then the third, I think when we look about our opportunity set. One of the great advantages that I think we can create over time is building cash in an environment where cash and the cost of capital is increasing. We like putting the cash on our balance sheet and, and being a credible counterparty for opportunities that that may come and present themselves here over the - near to medium term.
Unidentified Participant: Yes and I can't argue with the - with where that has served you well, in the past. So I'm not going to argue about that today. So I just was wondering if there's usually - you've had a long history of buying back shares, and then you replenish it. And there was no mention, and you said several 100,000? I don't know, what is the exact in dollar amounts. What is the exact authorization still like I don't know that?
Jason Stabell: 219,000 shares.
Unidentified Participant: So, about $1.5 seven times.
Jason Stabell: You said it right.
Unidentified Participant: Yes okay. And you mentioned thinking about the Marcellus/Utica. I guess the question is, would you have - I mean you're small, small. So it's not probably a big issue, but and - you would - address it before you did anything. But take out pipeline, getting it out of the region - I mean, is that an issue for that one, as opposed to? I was expecting more of an update, perhaps on your Oklahoma drilling and thoughts down there, but you guys know your business not me?
Jason Stabell: Sure, so just so I understand the question, are you asking about takeaway?
Unidentified Participant: Yes, that's been - that's the bugaboo about the Marcellus. And then you had this is like the first time in several quarters where you - there's been no reference to the drilling results or plans, even though there's been some hints in the past about your Oklahoma venture. And - if you're going to be weighing where to put money, I would think you'd be weighing the two different basins there?
Jason Stabell: Sure, Oklahoma's is in the portfolio. So it's certainly something that we're considering for capital allocation. It is sensitive to cost inflation on the service side, and it is price sensitive. So we're working with our partner there, which is, private entity named Comanche to evaluate what inventory we will be addressing in 2023. And those plans haven't yet been finalized. And when and if they are, we'll certainly report them to the market. On the takeaway issue, it has been well publicized in the Marcellus that there are takeaway constraints. We do have the advantage of being a smaller player. So our volumes, we do take them in kind and market them and we have not had an issue. We're a price taker. But we try to optimize our realized prices, through our marketing efforts. Our actual ownership in Auburn is it's a gathering system that feeds ultimately into the Tennessee pipeline system. So our gathering system, we have adequate capacity for any additional activity and in Tennessee, it's a seasonal issue - on terms of takeaway capacity as we get into winter, and in basin demand and Northeastern demand kick in, you're going to see a lot more draw there in October and November. Obviously, we're in the shoulder seasons where you can have issues. We saw them and Waha was well with maintenance where lines do get backed up because of the demand reductions. So, weather was going to drive things here in the next couple of weeks coming out of the out of the basin. Hopefully that answers your question.
Unidentified Participant: Yes, it does and I appreciate the time and like I said, I am glad to see you communicating with the shareholders a little bit here starting with the new management team. So good luck, good luck with your efforts?
Jason Stabell: Thank you, Tom. Appreciate it.
Operator: [Operator Instructions] The next question is from Nat Stewart with N.a.s. Capital. Please go ahead.
Nat Stewart: Hi Jason, I just had a few questions for you. I thought that was great news about the Koromlan well, on being above expectations. I think it really highlights the quality of your position there. I was just curious, what are the - have you gotten a real feel for what the prospects are for working with the operator, perhaps improving the relationship there? Perhaps to, if not increased, do more to maintain production there. Obviously, that seems like you have a great inventory that could generate a lot of cash?
Jason Stabell: Yes thanks for joining and thanks for the question. Yes, we're excited about the Koromlan results. And you're right they do speak to the quality of our inventory. As far as our discussions with the operator, as you know, we've been of the position that we'd love to increase the investment we are not the operator there. So we're afforded the opportunity to, to reach out and communicate to them our views on capital allocation. They have a larger portfolio over which they're making decisions. So what I'll say on that is, we're a new management team, we're trying to improve and reset the communication there. And our hope is that we'll have some success. I think it's too early yet to know what fruit will be born there.
Nat Stewart: Great. Now, in terms of just a follow-up question about the opportunities you're looking at, when I look in, I think many investors look at natural gas type oriented companies today that are publicly traded the shares seem pretty cheap, even at substantially lower gas prices. Are you have you been able to get a feel for how the price private market might be pricing, potential deals or acquisitions? Is it at this type of discount as well? And have you been able to assess that environment? In terms of how favorable it is right now, relative to say, the public market or whatnot?
Jason Stabell: Good question, we're just really kicking off our BD efforts in that regard. So what should I say on that? When you have an environment where prices have moved as dramatically as they have on the gas side? I think that can create less financial stress or maybe more uncertainty around a bid ask spread and transaction. So we're a little bit wait and see, I do think there's some opportunities in our focus area in the Northeast. When you think about that area, there have been some very large consolidators we know the names three or four very large, public companies. Our view is that sitting below those, there are a number of opportunities that sit in private hands that I think we could have a decent chance to, to pursue transactions with. So I'm not sure if that gives you enough detail, but let me know if you need any.
Nat Stewart: Sure, yes that's no, that's good. And it does know if I interpreted it correctly. And I could be wrong. It seems like perhaps the focus is really in the Northeast, at least for now. Is Oklahoma's something you'd consider divesting or has that not been considered or is that just it seems like you're content with the kind of the what's going on there?
Jason Stabell: So with any new management team, you come in, and you try to get your arms around the portfolio, I think the Oklahoma portfolio is one where we've allocated some capital. As I mentioned in the previous question, it is a bit more sensitive to cost and commodity. So it's something that I think we'd evaluate further investment there. I think we'd also evaluate the potential divestment, it's something as we think about our portfolio is going to depend on the opportunities that that we identify in the Northeast and whether Oklahoma continues to make sense for us or not. At this point, I'm not in a position to say yes, or no on that Nat.
Nat Stewart: Okay, well, that sounds great guys, and good luck, and I'm really excited about the future here.
Jason Stabell: I appreciate the question thanks and your interest.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Jason Stabell for any closing remarks.
Jason Stabell: Thank you, Gary. I would also like to thank all those joining today for their interest in Epsilon and our Board and team members for their support and hard work. Again, I hope it's clear from our remarks today that we are excited about the prospects for the company and believe that Epsilon is well positioned to create meaningful value for our shareholders. Finally, let me reiterate that we believe Epsilon is differentiated by the combination of a strong debt free balance sheet, unhedged commodity exposure and regional focus. We look forward to updating you on our progress in the coming quarters as we implement our plans and raise investor awareness. Hope you all have a great weekend. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.